Operator: Hello, everyone. Thank you for standing by. And welcome to Neonode’s Second Quarter Ended June 30, 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. At this time, for opening remarks and introductions, I would like to turn the call over to David Brunton, Neonode’s Head of Corporate Investor Relations. David, please go ahead and start the conference.
David Brunton: Welcome and thank you for joining us. On today’s call, we will review our three and six months period ended June 30, 2015 financial results and provide a corporate update. Our update will include details of customer activities, technology developments, and other items of interest. The prepared remarks will be provided by Thomas Eriksson, our CEO; and Lars Lindqvist, our CFO. Before turning the call over to Thomas and Lars, I would like to make the following remarks concerning forward-looking statements. All statements in this conference call, other than historical facts, are forward-looking statements. The words anticipate, believe, estimate, expect, tend, will, guides, confidence, targets, projects, and other similar expressions typically are used to identify forward-looking statements. These forward-looking statements do not guarantee the future performance that may involve or subject to risks, uncertainties and other factors that may affect Neonode’s business, financial position and other operating results, which include, but are not limited to, the risk factors and other qualifications contained in Neonode’s Annual Report on 10-K, quarterly reports on 10-Q and other reports filed by Neonode with the SEC to which your attention is directed. Therefore, actual outcomes and results may differ materially from what is expected or implied by these forward-looking statements. Neonode expressly disclaims any intent or obligation to update these forward-looking statements. At this time, it is my pleasure to turn the call over to Thomas Eriksson, Chief Executive Officer of Neonode. Thomas, please go ahead.
Thomas Eriksson: Thank you, David. Good morning, everyone. Second quarter 2015 was another period where we further solidified our position as the technology of choice with some of the world’s leading consumer technology and automotive companies. Our technology is being used or developed in devices ranging from HP printers, Dell PCs, Amazon E-Readers, to Garmin Aviation consoles; Volvo and 17 other cars, including two self-driving concept models. During the quarter, we passed all Microsoft Windows 10 tests with our ZFORCE PLUS touch technology. We continue to work with Microsoft to improve the user experience of Windows 10, and now can take advantage of some of the unique features from our technology. Our customer presence is growing in all of our main market segments. Our printer customers shipped approximately 1 million printers in 2014, and are expected to ship around 8 million in 2015, an 800% increase from 2014. In 2016, we believe our printer customers will ship approximately 20 million printers, and this will represent the market share of 20% of the total printer market, 100 million plus units per year. Our automotive customers started shipping cars with infotainment systems in 2015, and are on track to ship over 200,000 cars this year. This number is expected to grow to approximately 1.3 million in 2016, resulting in a year-on-year increase of 650%. Our PC customers are on track to begin production on certain PC devices this year. We know that our PC customers’ activities have taken longer than expected, but exciting part of this market segment is that, we now can see the result on our initial product development accomplishments. Computex in June 2015 was a major milestone for Neonode, as we officially launched and demonstrated our zForce AIR module technology for 10-inch to 16-inch notebooks. Our Touch-in-Everything focus is gaining momentum and we see zForce AIR implemented impact all of our future designs. I’ll tell you more about this later on. During this call, I will update you on our main market segments, which are automotive, PC devices, and printers, plus share some news on our developments in our technology and user interface IP. Moving onto our PC business. As stated previously, the recent COMPUTEX Show in Taiwan represented a milestone in our future business with the successful launch of our single side sensor module, called zForce AIR. The response to the AIR module from the tier one OEMs and ODMs was overwhelmingly positive with a number of customers highlighting programs for immediate integration. Based on PC production cycles, we believe we’ll see notebook devices in the market in 2016, where our PC business, our first AIR module production will be focused on high-volume notebooks. However, we aim to support larger size devices, such as all-in-one and monitors as part of our 2016 roadmap. For notebooks, we are targeting 14-inch and 15.6-inch devices first, where our customer have their highest volume. Our focus in developing zForce AIR was offered high-performance solution at the lowest cost. With zForce AIR that ODM will receive a single low-profile module that can be integrated into any design with minimal impact on development and production assembly schedules. The zForce AIR module allows Neonode to address greater scalability and reduce time-to-market for our customers. We anticipate that zForce AIR module would be integrated into several high-volume notebooks planned for mass production in 2016, with more products being indemnified as discussions with Tier 1s developed further. The world of monitors is changing with growing demand for touch and new designs like curved displays, which already have a 5% plus market share in the 100 million monitor market. Our zForce EDGE solution’s curved monitors and all-in-ones has placed us in a very unique position for this growing market. zForce EDGE specifically addresses the OEMs requirements such as non-glare, edge-to-edge industrial designs, low-cost and high-performance touch user experience. The result is that we are in discussions with several PC OEMs and ODMs implementing our technology into their devices. We’re also working with a number of Tier 1 OEMs an alternate ways to interact with future devices. For example, we’re collaborating on designing sleeve notebooks that do not have a traditional mouse pad below the keyboard on which the user does the mouse and gesture control. With our solution, the full keyboard now supports both touch and mouse pad function. Not only will this enable notebooks to be much smaller in size, but will also represent major cost savings for the PC companies. Furthermore, it will enhance the user experience which all the OEMs are looking to offer as a differentiation. For Neonode, it will increase our revenue opportunities from just touchscreen, to touch on keyboards and gesture functionalities. zForce PLUS and zForce AIR complements markets of strategy with Windows 10 with a single platform across multiple devices. For Neonode’s technology, OEMs can offer consistent touch user experience across more devices with the same look and feel as non-touch devices at nominal cost levels. Finally, with our proven technology offering and our Taiwan team in place to support our growing base of customers who anticipate conversion of great deal of business in the coming months. And now over to our automotive business. This was a very exciting quarter for Neonode in automotive. Coming hot of the success of the Shanghai Motor Show, where we were in 17 models offered by 10 OEMs, I listed these on the last conference call. We estimate that a total of 1.3 million cars using our technology will be sold in 2016. Some of the notable brands includes Suzuki Vitara for the global markets and Chevrolet New Cruze and Buick Excelle XT for the Asian markets. We’re gaining a great deal of momentum with leading car brands on the back of the success of the all new Volvo XC90, which is now the industry benchmark for quality, cost and performance. Our zForce Drive steering wheel technology achieved some important milestones, successfully completing a handover process where a driver gives control of the car to the computers of the autonomous driving vehicle. The driver safely gains control using our embedded sensors in the steering wheel. Also, this is early testing. I and our partners doing the testing believe this is a huge leap forward. The response from the automotive OEMs has been extremely encouraging and prompted us to place greater resources to handle the opportunities in front of us. For our automotive business, we’re focused on increasing our footprint within each car for offering touch sensing for sensor controls, sensing on the steering wheel, as well as door handles and tailgate sensors. In total, all our various solutions for automotive segment represented very lucrative opportunity in a market of 100 million cars per year. And now I would like to move over to our printer business. During the quarter, we signed a license agreement with Samsung for their printer business. We feel this is a significant win for our company, not only, because Samsung is one of the largest electronic companies in the world. But more importantly, we see many opportunities to work with them on devices in other product categories. We have a long history working with Samsung on technology licensing, going back all the way to 2006, and we expect to expand our great relationship going forward. We now have agreements and are working on deploying our technology in printers from 4 of the top 5 global printer OEM companies. Our printer customers combined sell almost 87 million of the estimated 106 million yearly printer unit sales. This is the testament for the strength of our technology on all levels, including performance, user experience, price, scalability, high production yields, and industrial design. HP is on plan and continues to release new models of printers to the market each quarter. In addition, our other printer customers are fully engaged in product development and are expected to release products in 2016. We see a very solid licensing business coming from the printer segment in the coming years. As more printers are designed with touch replacing buttons. And now I’d like to move on to technology development update. Neonode places a great focus in investment on ensuring our technology is evolving to offer market touch and proximity solutions with the best performance on price. Two perfect examples are zForce PLUS and zForce AIR. We work closely with Microsoft to ensure Windows 10 can also take advantage of the many attributes of zForce PLUS. Previous operating systems such as Windows 8 were designed with capacitive touch in mind. But with Windows 10 as Neonode was involved, optical touch is fully endorsed by Microsoft from the initial design process. And this has resulted in PC OEMs having greater source of touch technology on their devices. Microsoft is positioning the Windows 10 operating system platform as a single platform across multiple devices. This strategy is perfectly complemented by Neonode’s Touch-in-Everything vision. Neonode can complement and enhance the Windows 10 user experience by offering high-performance touch experience across all PC devices. This means more devices can offer the full Windows 10 features and user experience as intended by Microsoft. Moving on to zForce AIR, our focus and development around zForce AIR module is now geared toward mass production with our manufacturing partners. We expect that our partners can deliver volumes to our customers for first quarter 2016. With zForce AIR module, we have made the technology leap and this involve not only inventing in developing the technology, but inventing a production process, which is proprietary for Neonode. Furthermore, in developing the technology and the production process it has been done for the sole purpose of ensuring high-performance, low cost, and unlimited scalability. The zForce AIR module is now sampling to our best customers, but once in production zForce AIR will be unlike any other technology offered in the market. And the opportunities and application are limitless. Keep in mind, that with AIR, OEMs can offer touch sensing, gesture sensing and proximity sensing too. According to recent article in the Harvard Business Review, gestures will be the key form of input for Internet of Things. We believe that Neonode’s mission of Touch-in-Everything and Internet of Things go hand-in-hand. With zForce AIR, OEMs can offer intuitive user experience at very, very low cost. It can be touch or sweep in the air or even drawing lassos in the mid-air above our device. zForce AIR is the solution for that. zForce AIR can also operate completely standalone, transmitting touch and proximity data with low energy Bluetooth connection. This technology also enables OEMs to design with greater freedom, as the AIR is a self-sustained module that can be integrate into any design. And design was another key feature that Neonode wanted to address, when developing this technology. Our AIR module will initially be targeting notebooks and printers and move onto automotive solutions E-Readers and Internet of Things. And finally, I would like to update you on the growth of our patent portfolio. Since the beginning of 2015 we have received 29 new issued patents, bringing the total number of issued patents to 89. Just last week, we received U.S. patent number 9092093 entitled Steering Wheel User Interface, which covers the Steering Wheel product that we’re currently developing with Autoliv. This is our fifth steering wheel user interface patent issued so far. I would like you to know that all Neonode products, licensed by our customers are covered by numerous patents. As an example, the Neonode license technology in HP printers is covered by 14 patents worldwide. And the Neonode license technology in the Volvo XC90 in car entertainment system is covered by 17 patents worldwide. We have over 100 additional patents pending, so we expect this number to continue to grow. Furthermore, I would like you to know that after substantially investigation Neonode will be actively pursuing license agreements and royalties for devices that are using our user interface IP. While the details cannot be discussed, I can inform you that we believe there is substantial value associated with our user interface IP, and we are now in a position to ensure that we are effectively rewarded for their use. With Neonode being a technology licensing company we will seek royalties as we do for our touch and proximity technology for their use. Investors interested in our patents are welcome to visit the Patent Marking webpage on our corporate website, neonode.com; click on About Us and click on Legal. And now Mr. Lars will talk about financials.
Lars Lindqvist: Thanks, Thomas. You can find our Form 10-Q and our second quarter earnings release available for download from the investor section of our website at Neonode.com. Our second quarter revenues were approximately $2.8 million compared to approximately $900,000 for the second quarter last year. Our revenues for the quarter include $1.5 million of license fees and $1.3 million of NRE fees, compared to $400,000 of license fees and $500,000 of NRE fees for the same quarter last year, the increase of 221% in net revenues for the second quarter 2015, as compared to the same period year in 2014. It’s primarily due to an increase in license fees of 75% from E-Reader customers including Amazon and 795% increase from printer sales; and sale to $200,000 for our automotive tier 1 customers supplying systems to OEMs including GM, Suzuki and Volvo; plus NRE revenues from customers. Last quarter, I talked about an agreement that we entered into with Autoliv to further develop our steering wheel sensor zForce DRIVE. During the second quarter 2015, we received initial payment of $1.5 million and completed the first development milestone and as a result recorded $875,000 of revenues. The license fee revenue distribution per market for the second quarter 2015 is 51% for printers, 11% for automotive and 38% for E-Readers and tablets; compared to 80% E-Readers and tablets and 20% printers in the second quarter 2014. Our total operating expenses for the quarter was $3.8 million compared to $4.3 million for the same period last year. The 12% decrease is due to several factors including lower legal expense related to patents filing, lower non-cash stock option expenses and some one-time expenses in 2014. Our net loss for the second quarter was $1.8 million or $0.04 per share, a 54% decrease as compared to a net loss of $3.9 million or $0.10 per share in the same quarter last year. For the six months just ended, revenues were approximately $5 million compared to approximately $1.9 million for the same period in 2014. Our revenues for 2015 include $3.3 million of license fees and $1.7 million of NRE fees compared to $1.3 million of license fees and $600,000 of NRE fees for the same period in 2014. The increase of 168% in net revenues for the six months period 2015 as compared to the same prior year in 2014 is primarily due to the same reasons as discussed for the second quarter. Total operating expenses were $7.8 million for the six months just ended, compared to $9.1 million for the same period in 2014. The 15% decrease in total operating expenses is due mainly to the same reasons that were discussed for the quarter. Our net loss for the six months period 2015 was $3.9 million or $0.10 per share, a 51% decrease as compared to a net loss of $7.9 million or $0.20 per share in the same period last year. Everything I’ve been talking about here is about execution on our operational plan. Our revenues are increasing across our core markets and our expenses are on plan. So the result is our cash burn is decreasing as we move towards cash flow break-even. For the second quarter, our net cash used by operations were $1.2 million compared to $3.3 million for the same quarter last year and $1.6 million for the first quarter 2015. Equivalent figures for the six-month period are $2.8 million for 2015 and $6 million for 2014. As of June 30, 2015, we had cash of approximately $3.2 million and $700,000 of accounts receivable, in other words, $3.9 million of cash equivalent. Now, I would like to turn the call back over to Thomas for some closing comments.
Thomas Eriksson: Thanks, Lars. This concludes the prepared remarks. And we’ll open the call for questions. Thank you very much.
Operator: [Operator Instructions] Our first question comes from the line of Cody Acree with Ascendiant Capital.
Cody Acree: Thanks guys for taking my questions. Thomas, could you possibly give us a little more detail on your expectations for the PC market. You mentioned that was a bit behind expectations through this year, but you’re now looking for something in 2016. Could you maybe talk about your expectations for timing, and then any help with volumes?
Thomas Eriksson: Yes, hello. Yes, we were a bit disappointed that we didn’t see PC products on Computex with our technology. But on the other hand with a great show with Computex is a huge interest for our technology from the OEMs and the PC partners. And I’m also very excited about the fact that, we’re now working with Dell as a customer and expect to have a very fruitful relationship with them going forward. However, we’re not in-charge of Dell’s production schedule. We believe these projects are scheduled to be in production this year, this is kind of all-in-one devices. And in general, Computex was the most successful show for us we’ve ever been, and I think you should have been there. We met all the OEMs and ODMs and they showed a lot of interest and resulted in actually several new products that we already started, primarily notebooks type of devices. We also showcased our curved and flat solution for all-in-ones and monitors with great success. This is really exactly what the monitor guys want, to start adoption of touch on all monitors. And we also demonstrated our new cost - low-cost solution for notebooks called zForce AIR, which is the solution for notebooks that also can support proximity and other type of functions, as I said on the call. I think everyone also understand, it’s important to touch enable all the Windows 10 devices, but the user really can enjoy the functions you have in Windows 8 and Windows 10, so we’re working on that with Microsoft. And this module also makes it possible now for ODMs and OEMs to put touch in of their devices. I think you can see a lot of Windows 8 and Windows 10 devices without touch, and that’s not really following the strategy for Microsoft to utilize that operating system. The primary interest for this technology is that we have cut the cost down to about $0.25 to $0.50 per inch display compared to, let’s say, capacitive touch that sell for $1.5 to $2 per inch. So we have a very, very competitive offering now for 2016 for - primarily for notebooks. But we’re also working on products now with monitors and all-in-ones, but they’re a bit delayed unfortunately.
Cody Acree: Thomas, so it sounds like Dell will have some possible revenue contribution this year. Is that the way to read this, maybe with the delay and revenue recognition that pushes into next year. But are we to expect notebooks, monitors, some of these other partners that you’ve been working with in the first-half of 2016, or can you just help us with the timing?
Thomas Eriksson: Yes. First of all, we expect Dell’s product to be in production this year. The exact date of that and when this product is going to be in the market, we can’t talk about. We are working on several other products with them, as a customer, also with HP and the other PC companies, that include notebook devices, all-in-ones, and monitors. And exact when these products are going to be in the market, we can’t really say. But we’re actively engaged with these companies developing devices right now.
Cody Acree: And I guess, with the delay versus maybe some original expectations several quarters ago, could you just characterize how what are you - how would you, I guess think about those delays, what were the causes and what is it now that’s helping to accelerate those?
Thomas Eriksson:
. :
Cody Acree: With the launch of now PC business, the ramp up of autos, as we look into maybe through 2016 and into 2017, what is your revenue mix expected to look like?
Lars Lindqvist: Well, it is basically a tougher guidance question. But naturally, three segments - we have the printer segment that is moving on nicely and we also then expect the other customers we signed up within print segment to come with product 2015. I would say that we will see a nice growth in that piece and we see a flat growth in the e-Reader, automotive continue ramping and PC with a cost full in 2016, except the distribution wait and see.
Cody Acree: Lars, what would you expect there would be your largest contributor at the end of 2016?
Lars Lindqvist: Well, I would say that - I would expect that two biggest launch 2016 will be printers and PC.
Cody Acree: Perfect. And then lastly Lars, just I’m sorry, please go ahead.
Lars Lindqvist: No, that’s all.
Cody Acree: On the - your liquidity position, could you just talk about your possible inflows just-cash [ph] you’re getting closer to break-even. [You’re out there, you should bring cash.] [ph] You’ve also talked about possibly going after some possible license infringements that would obviously consume some cash, so you just talk about liquidity trends.
Lars Lindqvist: Well, I think we have had a nice development that we also presented for this quarter that we can see that the cash flow is decreasing. And we believe we’re strong on cash projections. We will be sufficient to operate the company going forward and very much built on the confidence we have about the projections we see in the printer, e-Reader market, as well as the automotive that’s growing for every quarter, taking bigger share. We have significant NRE payments that will continue to finance development projects that PC customers on the market ordered late this year. And on top of that, I would like to add that if you also have a new technology zForce AIR that seems to generate a significant NRE number going forward.
Cody Acree: That’s all. Thank you, guys.
Lars Lindqvist: Thank you.
Operator: Our next question comes from the line of Rob Stone with Cowen & Company.
Rob Stone: Hi, guys, lots of great detail so far, thanks for that. I wonder, Lars, since you’re breaking out now the contribution of the various segment through the royalty revenue for Q2 this year and last year, if you could give us the same percentages for Q1?
Lars Lindqvist: Sure, I can do. For Q1 2015, we have the printers 34%, e-Readers 61%, and automotive 5%. The - and if you sum up for six months, you will have printers of 42%, e-Readers 51%, and automotive 7%. So you can easily see that the printer and automotive is gaining share in a more flat, say, E-Reader market.
Rob Stone: Okay. And a question for Thomas about the automotive activity, so you mentioned there were 17 models at the Shanghai Show. Is the timing for the ones that are not in production typically going to be in the fall timeframe, September or something like that? When generally do you expect these parts to start shipping?
Lars Lindqvist: Yeah, we expect them to start shipping some of them this year and the rest beginning of next year. We only have some of the worldwide cars like the Suzuki, for example, all of the shipping. We have the Volvo XC90 shipping, for example. And both of these cars are available globally. There is a couple of cars also that we talked about specifically for Asian market and so on. So they will come one-by-one here. They’re already - some of them are already on the market.
Rob Stone: Okay. A question for Lars again on operating expenses which were down sequentially as well as year-over-year. How do you see the run rate for operating expenses in the second-half and those are your - all right, the comments in the prepared remarks about pursuing user interface licenses imply that legal expense for this is going to go up.
Thomas Eriksson: Well, first of all, we expect, as I also mentioned early, of course, to be - that would be at the $4 million level at the quarter when it comes to expenses. That is the range we stick with still. And we have it very tight under control, monitor it on a basically daily basis. So, I’ll be not going into discuss anything about them, about them…
David Brunton: Bob, this is Dave Brunton. Hey, on the user interface stuff, I mean, the way we’re structuring it right now, we don’t expect to see significant legal expenses on it. I mean, that’s not in the…
Rob Stone: Okay.
David Brunton: …so just an FYI.
Rob Stone: Okay. That’s helpful. And finally, lots of questions about PC stuff, but I have one more. PC was one of the segments that contributed to NRE’s revenue in this quarter. Any color you can provide there would be helpful. And then you mentioned that you see significant opportunity for NRE with respect to zForce AIR. Help us understand if that’s a modular technology that can go into lots of different models. How do you see the NRE’s opportunity there?
Lars Lindqvist: zForce, yes, it’s a module and that greatly simplifies us to be more scalable as a company. And it can be designed for different sizes and can be integrated in all kind of products, not only notebooks, but we’re looking at this going forward, also going into automotive and white goods and internet of things kind of applications. And these types of module you can say is in the cost level where we are really, really much lower than competition. So, as I said, we’re looking at about $0.25 to $0.50 compared to capacity solution about $1.5 to $2. So it’s, yes, it’s completely new technology for us.
Rob Stone: So in what sense then the PC OEMs likely to pay NRE for projects using zForce AIR? Is that in some ways you get priority access to your design resources? Or what is it that would generate the NRE fees there elevated to zForce AIR?
Thomas Eriksson: Because it’s in there, it’s sort of a disruptive kind of product, and of course, everyone wants to have touch in their devices. I mean, Windows 8, Windows 10 is designed for touch. So, of course, this is something that everyone is looking for, but at the moment touch functionalities is priced too high and they have to have two different kind of devices and they will look completely different. This type of technology open up that opportunity, but also similar to let’s say our steering wheel, there’s a lot of companies obviously that want to have this into their products quickly and as opportunity for us to charge quite high NRE. We have done that before and we continue to do that. But, of course, you have to have a technology that is something special, it can’t just be a 10% drop in price. It has to be significant. And I think, zForce AIR is a significant - something that’s - significant lower in price than everything else.
Rob Stone: Okay. And finally, Lars, if you could just remind us, what’s your fee in terms of NRE payments coming in the second-half from the Autoliv arrangement?
Lars Lindqvist: Well, from the Autoliv, I think even disclosed that earlier that in total $3 million, of which $1.5 million was initial payment and that is something we - that is paid already. But it is recognized as revenue over capital milestones with final milestone being Q1 2016. So basic what you have today in the Q2 report is $875,000 of NRE revenues, of which $375,000 is related to the initial payment, the rest is related to the development projects that has been performed in a very good way, so far so we met the milestone, first one.
Rob Stone: Okay. So with roughly $400,000 of NRE in Q2 not coming from Autoliv, roughly how much should PC contribute to that?
Lars Lindqvist: I would say that roughly half of it. It is a combination of PC and printers, maybe half-half.
Rob Stone: Great. Thank you very much.
Lars Lindqvist: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Mike Malouf with Craig-Hallum.
Mike Malouf: Great. Thanks for taking my questions. If I could, Lars, just get a little bit clarity on the cash as we go forward. So we ended the quarter close to $4 million in cash, if you include the receivables. I know that - I think you had a target of not going below $4 million. So I’m just kind of wondering as you look into the third quarter, should we expect that quarter to be cash flow neutral or are we going to dip down a little bit further than you thought, and perhaps the December quarter will be that positive quarter? I just would like some clarity on that. Thanks.
Lars Lindqvist: What we have found is that we expect to breakeven due in this year, exactly when that will happen, I can’t really go into any details. But the nice piece of it is based what I said earlier, that is that we have a very good confidence in the projections we have now with the automotive, with printer, with E-Reader and so forth, and naturally, with also the NRE projects. All that together really, yes, give us - yes, good feeling, good understanding of the projections to run the company.
Mike Malouf: And when you look at the NREs for the second-half, I mean in total, I mean, or maybe even on a range that would be helpful, what kind of total NREs in the back-half are you expecting?
Lars Lindqvist: Well, what I - I think I tell last call in the range of $3 million to $5 million for the year. And you can maybe say that we are in good way to move up that range.
Mike Malouf: So maybe on the high-end of that range, is that what you’re saying?
Lars Lindqvist: It could be reasonable to - that could be a realistic assumption.
Mike Malouf: Okay, great. And then, just a question on the autos, are you still looking at around $3 to $4 on average for license fees on a per unit basis?
Thomas Eriksson: Depends on the volume but, yes, we’re also looking at potential higher numbers on, for example, steering wheel application. On different sensors, it might be a bit lower, for example, door entry sensor is a bit lower, so, yes, in average, yes.
Mike Malouf: Okay, great. That’s what I had. Thank you.
Thomas Eriksson: Thank you.
Lars Lindqvist: Thank you.
Operator: And we have no further questions at this time. I’d like to turn the floor back over to management for any additional or closing remarks.
David Brunton: Thanks for everybody for being on the call. And we’ll talk to you next time. Thank you.
Lars Lindqvist: Thank you very much.
Thomas Eriksson: Have a good day. Thank you.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.